Operator: Good day. Thank you for standing by. Welcome to the Solesence Fourth Quarter 2024 Conference Call. After the speakers' presentation, there will be a question and answer session. [Operator Instructions]. Today's call is being recorded. During this call, management will make statements that include forward-looking statements within the meaning of the federal securities laws, which are pursuant to the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. This conference call may contain statements that reflect the company's current beliefs and a number of important factors could cause actual results for future periods to differ materially from those stated on this call. These important factors include, without limitation, a decision of the customer to cancel purchase order or supplies, agreement, demand for an acceptance of the company's personal care, ingredients, advanced materials and formulated products, changes in development and distribution relationships, the impact of competitive products and technology, possible disruption in commercial activities occasioned by public health issues, terrorist activity, and armed conflict, and other risks and indicated in the company's filings with the Securities and Exchange Commission. Except as required by federal securities laws, the company undertakes no obligation to update or revise these forward looking statements to reflect new events, uncertainties or other contingencies. I will now hand the conference over to your speaker, Mr. Jess Jankowski, President, CEO and CFO.
Jess Jankowski: Good morning, and thanks to all of you who have joined our call today. Joining me on today's call is Kevin Cureton, our COO. I'll begin with a summary of our fourth quarter results and a business update. Kevin will then discuss our operational initiatives. Then we will take your questions. We're excited to be hosting our first conference call at Solesence, reflecting our simple yet profound mission, deliver joy. We believe that joy comes from confidence, self-expression and well-being, and we're committed to enhancing all lives by transforming skin care through our groundbreaking innovations. Our rebranding also reinforces the broad success of our beauty science platform, which has not only revolutionized mineral based sun and environmental protection, but it has also enabled us to achieve four consecutive years of growth. With more beauty brands recognizing the novel skin health benefits that our platform brings, we remain confident in our ability to sustain rapid and profitable expansion in the years ahead. In connection with our rebrand, we launched a new investor relations website, enabling current and prospective investors to stay better informed of our developments. Our new IR site offers comprehensive information about the company, including detailed financial reports, historic Nanophase financials and disclosures, leadership team and Board of Director profiles, the company's news and announcements and much more. We invite our investors to view our site. Moving to our financial results. We had an impressive 2024, achieving record net profit and positive operating cash flow while reducing our outstanding debt. These milestones highlighted the continued success of our growth strategy, underscored by the ingenuity and creativity of our team as we continue to promote our award winning products. Revenue for the fourth quarter reached $12.6 million representing an increase of 57% year-over-year. For the full year, we generated $52.3 million in revenue, an increase of more than 40%, exceeding our base guidance expectations. These record results reflect the continued strength of our commercial execution and the continued demand for our products. The elevated fourth quarter revenue was primarily driven by a shift in customer mix and the timing of product launches, many of which occurred later in the year than in previous cycles. We're pleased to be growing at a robust pace and thrilled to be doing this while expanding our margins. Gross margin expanded to 22% from 6% year-over-year in the fourth quarter. On a full year basis, our success was more evident as we increased our gross margin to 31% from 21% year-over-year. I'd like to remind listeners that the fourth quarter has typically been our seasonally weakest, but in spite of these usual fluctuations, our business continues to yield positive results. Our fourth quarter 2024 net loss was narrowed to $600,000 from a $2.1 million net loss in the prior year period. For the full year '24, we generated net income of $4.2 million, a sharp increase from a net loss of $4.4 million in 2023, representing an $8.6 million improvement year-over-year. Our business model and products underscore the success that we're able to achieve. Customers recognize the value of our products, and that speaks to the quality that we deliver. We continue to execute well, growing relationships with a series of leading brand partners across our line of consumer products. These include Color Science, a leading dermatologist recommended brand, Tatcha, a Japanese inspired prestige brand and Credo, the leading clean beauty retailer. There are a series of other brand partners who are not at liberty to disclose but represent a large percentage of our revenue mix. Our strong financial results were achieved in part because we have an amazing product that just won another award. Olay Face Milk SPF 50 plus featuring Solesence Clear Technology was named a winner in the Best Prestige Finished Formula category at the 2025 Cosmetics and Toiletries Alle Award. This award recognizes the company's achievements across criteria, including novelty and practicality, sustainability, safety, stability and proof of efficacy. It also marks the company's third consecutive win at the prestigious Alle Awards. Listeners may recall that in 2024, in addition to an Alle Award, we also won our third consecutive Cosmopack Award for Best Formulation at Cosmoprof North America. Shifting gears, another customer that recognizes the quality and performance inherent in the personal care ingredients we supply is BASF, one of our largest customers in 2024. We have a long-term exclusive relationship with BASF, primarily to provide nanoscale specific zinc oxide based active pharmaceutical ingredients, or APIs, in personal care cosmetics, with sunscreens and daily wear products being the dominant applications. We expect that these successful relationships as well as future customer demand will contribute to our future growth. Looking ahead to 2025, we anticipate sustaining momentum both on the top and bottom lines. We expect to generate continued growth supported by solid demand from brand partners and customers who remain enthusiastic about the unique benefits and performance that our products bring to enhance end consumers' health and well-being. We remain on track to deliver additional volume in 2025 as demand for our products outpaces the current market growth rate while continuing to enhance our operational efficiencies and scale for growth. At this time, I'll turn the call to Kevin Cureton, our COO, to share an update of our progress and outlook. Kevin?
Kevin Cureton: Thanks, Jess. As I always like to begin, I would like to thank our amazing team for their tireless commitment and demonstrating through our results their ability to consistently deliver solid performances for our investors, our brands and for ourselves. To echo Jess’s comments, 2024 was a transformative year for Solesence. We achieved record revenue, strong year-over-year growth and expanding margins, all of which contributed to our positive operating cash flow. Operationally, we remain focused on improving and expanding our facilities to maximize both the growth we can achieve and the improvements we can make in both product quality and profit margin over the next few years. As we take the next step in our evolution, I'd like to share some of the key operational initiatives we have undertaken were completed in Q4 in order to meet the growing demand for our business. First, we expanded our batch making capabilities at our Bolingbrook facility by adding the infrastructure for six production suites. We believe this will provide capacity to meet current customer demand as well as allow for the creation of substantial additional capacity to enable expansion of key product lines. In total, the increased capacity was supported in excess of $200 million on an annual basis from the consumer products line. Second, we continued to ramp up throughput. During the fourth quarter, we produced twice as much unit volume as we did in the same period in 2023. Third, we continue to develop and expand our formulating capability. This resulted in the launch of more than two dozen new SKUs of fully formulated finished cosmetic products. These products address markets focused on skin health with the majority sold in the prestige beauty segment. Finally, we further strengthened our competitive position with two new patents related to our plant based antioxidant technology and our skin soothing technology. In keeping with our IP strategy, both of these patents increased our ability to create sustainable competitive advantages for our brand partners and for ourselves. In closing, as we have stated previously, a core goal for our business is to continue to sustain rapid top line growth while improving overall profitability. We expect that as product volume increases, our fixed manufacturing costs will be more efficiently absorbed, which should be to increase margins. We also remain focused on reducing controllable variable manufacturing costs, while executing our growth strategy to sustain a profitable growth trend. Combined, we believe this will help us in the long-term create the valuable company our shareholders expect and deserve. I'll now turn the call back to Jess.
Jess Jankowski : We continue to see unprecedented demand for our consumer products, and we believe that this growth is happening now due to a confluence of our technology, market conditions that favor what we produce and our expanded expertise in these areas. Our market is vast and continues to grow. Beauty celebrates the individual, and these individuals of all sizes, shapes and colors make up a greater than $570 billion industry on a global basis. To support our brand partners around the world and across beauty's categories, we are dedicated to creating transformative skincare and beauty products that protect, nourish and celebrate every skin tone, type and identity. Turning to our book of business. For purposes of comparison, our shipped and open orders currently are at $38 million compared to about $35 million at the same time in 2023. The key difference year-over-year, however, are that about 23% of last year's number was for the second half of 2023, whereas only 7% of the current $38 million in open and shipped orders applies to 2025 second half. For our Prestige Beauty segment, our largest segment, we anticipate backlog to increase in the first quarter of 2025 with a higher volume of shipments to occur in the second quarter. This will be driven by year-over-year increase with our existing brand customers. We anticipate record revenues for Q1 of 2025, and we expect more orders coming in relating to reorder quantities and launches for the second half of 2025. As Kevin mentioned earlier, our top focus is on meeting our robust customer demand. We will continue to invest in areas where we can achieve scale and grow capacity while focusing on working capital management. Some of you may have read this in our release yesterday. Considering the success of our commercial strategy and the strong growth we've achieved, we've made the decision to pursue an uplisting to the NASDAQ market in 2025 pending eligibility. As part of this effort and in anticipation of additional requirements, we are initiating the search for a dedicated Chief Financial Officer to further strengthen our leadership team. At this time, we would be happy to take your questions. Afterwards, I'll offer a few closing comments. Please open the call for q&a.
Operator: Our first question comes from the line of Tony Rubin [ph].
Unidentified Analyst: First off, sincere congratulations on your continued growth and dominance in sales and product innovation, which I think, Jess, as you said and Kevin, as you said, is the hard part. So, congratulations in the last part of your opening comments on the open orders and momentum are heartening. I'd like also congratulate on pursuing the up listing, which I know a lot of us have been looking for. So just kind of a series of questions, which are somewhat disparate. Just do you have any insight as to the timing of the up listing? Also, just I'll list my questions and let you respond. Your gross margin for the quarter though improved over last year at 22% was highly disappointing. And I know you talk about continued growth in both top and bottom lines. Can you provide some insight as to why the margin dropped in Q4 and what we can expect going forward in 2025? For the quarter, you list taxes, which was a surprise because while you were profitable in 2024, you had greater losses in 2023. So, I would assume you were a net loss. Can you comment on the taxes and what again investors can expect in 2025 and beyond? And then lastly, I see your inventory has grown quite a bit, which I'm hoping you're assuming has to do with stockpiling ahead of any Trump tariffs or supply restrictions. If you could just comment on that. Thank you and I apologize for the number and disparate nature of my questions. But again, thank you and again, sincere congratulations on doing the hard work, which is coming up with an innovative product and selling it, which as we all know isn't easy and you've done year after year. So that's exciting.
Jess Jankowski: In terms of the questions, I guess the one question regarding taxes. Illinois has a hold on all NOLs. So, the Illinois corporate tax is, for the most part, what you're seeing there in Q4 tax expense. So, going forward, that tax is 9%, I think, of income. And until that changes, we won't be able to offset the NOLs we've had, offset the taxes with those. I believe that's over after 2025, but I don't have it in front of me. That's one question. Regarding the timing of the uplisting, we're in the process of trying to make that happen. I think that it's a matter of potentially months at most presuming we're able to maintain everything that's required in that time for eligibility. And that certainly is part of the reason that we decided to bring on a dedicated CFO. So, I expect more news in that area certainly when we're probably when we're giving the quarterly update in about a month. And my goal, whether we're able to achieve that or not, would be to have something done in the first half. Regarding the inventory, some of that is due to we've had launches this year in Q1 and Q4. Some of that Q4 was a better quarter Q4 than typically because some was early. We also put in a lot of efforts to both make sure we had enough raw material in here to satisfy Q1 and Q2 volume. So, it did bulk up a little bit. And in that regard, we do have activities going on in the operations side, spearheaded some things to reduce that number because we feel we've reached a point where we've got a nice safety stock of a lot of the raw materials that are coming in and tariffs are going to be an issue. We may see that down the line in 2025 revenue to a certain extent based on Canadian and other tariffs coming through. We're not sure yet where that's all going to shake out. And as you've alluded to that some of those things are pretty variable, which is never good for business, but is what it is. Regarding the gross margin question, a lot of things happened. One of the things we did was we put in a lot of overtime in the last part, specifically in December of this year in order to both accommodate the launches that required us to have material ready in December as well as Q1 and Q2. Additionally, we are building we're consistently working to consolidate our three facilities into two facilities. And so, part of that effort is building inventory so that we can have a smoother transition when we turn one facility off and get up to speed on another one. We're trying to make that an incremental effort to get up to speed so that it's not all one or the other. But the safest way for us to accomplish that at this point, we view, is to build the inventory to the extent we can. Additionally, we also have had some inventory that became obsolete or aged out, and that has to do with really the perspective of trying to keep a safe stock and a build. And I think we've got what I would say is a world class supply chain team in place now that is getting up to speed. We have some relatively new people in there, but they're very experienced. And I think we'll have to rely less on our working capital to support the growth we're having and more on our supply chain team to keep us keep products flowing and keep materials going in and out of the business. So, thank you for that question those series of questions, I should say.
Operator: Our next question comes from the line of Wayne [ph].
Unidentified Analyst: Are you reducing the number of challenges you've had as far as wanting to get more stuff out? And you mentioned different manufacturing issues. Are you reducing them So will they have a positive impact on our profit deal, if you know what I'm trying to say clumsily?
Jess Jankowski: I understood it perfectly. We are reducing the issues we're having. We're still having a lot of growth, and one of our wishes at some point soon is to have kind of like an Investor Day and show everybody what our facilities look like. And we may not be ready to do that this year, but it's a goal. And one of the things is just we're continually expanding. So, there's some natural inefficiencies in there. You're running everything on three lines. You're putting in a fourth line. The fourth line has to get up to speed and test it, etc. That said, generally, we're operating more efficiently all the time. I think fourth quarter was an anomaly based on the volume we had and where everything was flowing as well as in terms of the inventory build, the situation of being concerned with making sure we had proper materials. But I think the outlook is good for where we're at. I think the question I didn't answer for Mr. Rubin was in terms of gross margins, definitely 22% is not an acceptable number and a number that we don't see us living in that range. We should be in the 30s and possibly here and there getting into the 40s this year. And at a point when we stabilize, we're focused on a couple of things. We want to keep the rapid growth going. We also ideally, you want the most profitable customer base product mix you can have. But in the middle of that, you're building up volume and you're trying to create new customers, satisfy customers, in some cases, creating new markets. So, I think that our top focus is still on growth, but we are keenly focused on generating more cash to support all that and improving our profitability. And I see that coming.
Operator: Our next question comes from the line of Ronald Richard [ph], your line is now open.
Unidentified Analyst: You're qualifying this Nasdaq listing with pending eligibility. What are the issues there? Another thing, was this obsolete inventory a major factor in no profits this quarter despite the increase in margins? And how big impact do you expect from these tariff problems? I'm not sure I caught the new corporate development that you mentioned you would speak to earlier. In your opening comments, you said you were going to cover this and that, and then you said you were also going to speak to a recent corporate development.
Jess Jankowski: I think that was the context of the uplifting and the hiring of the CFO. Regarding the eligibility, we're eligible as I can see it, but you go through an underwriting process basically with the NASDAQ. And as you might imagine, there's a fairly detail and it's I wouldn't say it's Byzantine. I would say that it's got some areas that are a little bit subjective. So, as we go through that, I just want to be sure, our intent and our belief is that we're eligible, and our intent is to get uplisted as soon as we can. But I also know that there are things that we don't control, and there are things that in the process will come up just from experience that will be surprises to us, and we'll deal with them as they come along. That's all I meant. Regarding maybe I'll let Kevin address your question on the obsolescence and the tariffs.
Kevin Cureton: Hi, Ron. Yeah, couple of things. The easiest answer to give first on this is related to tariffs and that is we don't know. I think we're in a position that most people are. What we are seeing is as Jess alluded to in his remarks, we're seeing a little more conservatism we'll say with our brand partners relative to order placement, largely because they want to make sure they're not in the wrong place on inventory, should there be an impact in the tariffs. We also are hearing from our brand partners, particularly that are American companies shipping into Canada, that there's a little anti American sentiment building that's been happening not just in our industry, but in other consumer products industries where American products are being taken off the shelves and those types of things as well. So, we don't know exactly how that's going to impact us, but we are keeping a watchful eye relative to it. There is another element and that is the inbound relative to inventory and materials costs will be one of the concerns that we've got to watch. Right now, we're also seeing people get a little more aggressive than they would typically be at this point relative to our suppliers attempting to raise prices in anticipation of increased costs, so to speak. So, we're watching all of those things like everyone else. In regards to your inventory question, yeah, the obsolescence issue is one that is a mix related issue sometimes based upon the order pattern that we might get from a customer or a change in what their requirements are relative particularly to say packaging. We also had some adjustments that we made relative to just making sure we had clarity in terms of the materials on hand. And those were, I think, as Jess alluded to, aren't things that we anticipate happening going forward as we've really beefed up our supply chain team over the last year to help us address those types of issues.
RonaldRichard: Okay, thank you. And I just should add that someone congratulated you on having this so early. I don't think out here on the West Coast I would be a part of that.
Operator: Our next question comes from the line of James Liberman from America Trust Investment Services. Your line is now open.
James Liberman: Thank you. Congratulations again for your unprecedented developments and success. I had a couple of questions. And could you comment a little bit about the two I think you said two patents, plant based patents. Are you allowed to give any clarity to that or is that a trade secret?
Jess Jankowski: Good morning, James, and thank you. So, there are two new patents that were granted in Q4. One is related to an antioxidant technology that is plant based. Is compositionally, we get into some details that if there's any chemist listening, they'd be excited about. But essentially, it does come from, trees. Essentially, something that is an extract that we have developed a novel way of delivering in formulation and therefore maximizing the antioxidancy of the material. It's not new. It's something that we've worked on for a number of years, but now we're starting to see patents come through to protect the technology and protect our physician with it. We are looking at actually executing and implementing it in 2025 and 2026 in our product development cycles. So, we would anticipate seeing products next year with this technology, that first technology. The second one is related to a fairly well known ingredient called Allantoin. It's a skin soothing agent and again we've developed a novel way to deliver it particularly at high concentrations, which maximizes its efficacy. That technology is already in some formulations that we are providing to our brand partners. And we anticipate some new markets and new opportunities that we're not quite ready to talk about yet, but we do think that that will open up some new opportunities for us in the years to come.
James Liberman: Thank you. Can you also comment a little bit about the Olay Face Milk 50 plus award? Is that internally generated? Is it one of your customers using your component ingredients? Where would one see that product essentially?
Jess Jankowski: Yes. So, to talk a little bit about the award, which we always excited to receive the recognition of our peers in the industry, and that's one of them with the Alle awards. So, the way that award works is that we as you may recall, we build these products we call white label formulas. These are basically developed such that if a brand, ABC brand or Lieberman brand, let's say, comes to us and says, hey, we want to launch a product and we need to get it to market pretty quickly, they can select from our white label products and we can get those products fairly quickly and typically in six months or less to market. And so, Olay Face Milk and many other products like it are our attempt to just keep priming the pump, so to speak, offering different formulations to the marketplace that then ultimately are able to be built and developed and sold by our brand partners. So, this isn't a product that you would see yet with one of our brand partners. It's relatively new. But it does offer and any of them listening can come to us right now and place an order and we'd be happy to fill it. But it is a new product for us.
James Liberman: Okay. Thank you for that. And do you expect that the turns on your inventory will provide adequate cash resources to manage your growth?
Kevin Cureton: So, that's part of our objective as Jess alluded to improving working capital management is a big goal of 2025. 2024, we wanted to make sure that we were in position at all times to support the growth, the dynamic growth that we experienced. And that meant that we were building a lot of new processes to support that, particularly on the raw material supply side. Now that we've established those processes and relationships with our really excellent procurement and supply chain team, we're looking to manage the inventory levels more proactively. And so, we do think that there will be some improvements that we'll experience over the year that will help us to better manage our overall working capital position. We do see as most of us do that the current inventory level is relatively high. We anticipate that given some of the uncertainty, it won't go down as fast as maybe we would like. But we will certainly look to reduce that inventory to more manageable levels going forward.
James Liberman: I'm really pleased to see the prudent management in that area and so taking into account all the uncertainties, which leads to my last question, which is the BASF relationship, which I'm so glad has come about so favorably on both sides. This is probably an odd question, but is it possible that that could also be a benefit to you in case these tariffs get a little out of whack? You have BASF being a provider in the European sphere that at a more favorable cost basis to European customers? Or is it too early to tell how that might play out?
Kevin Cureton: Yeah, I think BASF is certainly, we continue to be excited as they are good partner with us and we continue to support that business. But it is too early to tell what impact that might have in Europe. It certainly would be nice to see a positive impact there, but it's certainly too early to tell.
Operator: Our next question comes from the line of John Henderson from Inflections Consulting.
John Henderson: A couple of questions. Number one, on your customer count, where are you in terms of brand partners you guys are currently serving in terms of the customer count number?
Jess Jankowski: We would say somewhere north of 70 brand partners.
John Henderson: And you guys have given some aspirational mid-term, long-term goals, dollars 200 million capacity, 500 million in long-term revenues. Have you guys kind of reverse engineered how many brands you need to kind of get there to that $200 million revenue mark you need to like double your existing customer base or do you think you just grow with them in the coming years to kind of get to those longer term levels?
Jess Jankowski: Yeah, I think there's a question of mix, John, really that will drive that to some degree. There's also the opportunity for globalization that will drive the growth as well. Keeping in mind that majority of our brand partners, not all, but the majority of them are really US companies that in some cases do export. But increasingly there's an opportunity for us to be involved in the Australian market, for example, or in the EU areas, the UK and EU. So, we do see those as also part of the growth drivers. And with that all being said, the scale of the customer is changing too. So, our average customer size is growing. We're not prepared to tell you how big that is right now, but it is growing pretty substantially and that means that we may not need as many brand partners to achieve our goals in the future.
John Henderson: Congrats on the potential uplisting in that regard, consistent execution along with performing better than expected. Those are key ingredients you need to fuel every stock to go higher. And you guys did an amazing job for most of last year, but you really want to be consistent with kind of being able to outperform. And Q4, again, was just another step back in that regard. Are you guys doing too much, right? I mean, what's the rush to get to $200 million in revenue capacity when like how long is it going to even take to get to $100 million, right? I mean, do you get to 100 million next year? And I'm just kind of wondering just from the outside looking in, I know you want to consolidate the three facilities into two, which is great, making more efficient. But just in terms of expanding capacity, are you guys running too fast?
Jess Jankowski: I don't think so. I'll let Kevin finish up. But I think that when we look at the capacity, some of that also relates to flexibility. So that for us to deliver $100 million, it would be a good idea to have $150 million capacity just because frequently, you have so many lines, and it's a lot of inside baseball, but certain kinds of packaging, which we call components, they run on one line, not the other line. So, to a degree, you need some redundancy to be able to be responsive in those areas. So, I don't think we're growing too fast. I do think that if you look at if you go back in the years where we basically tripled three years in a row, that's not going to happen at this rate. But there are just so many opportunities here. We are able to deliver. And to your point about disappointing results, I think some of that isn't a step back as much as kind of a curveball in terms of as I mentioned earlier, and I don't know you don't want to belabor things that you don't know that a general consumer is interested in it. But this year, we had launches that we had to satisfy and ship materials in Q4. Typically, that's Q1. So, we had a good Q4 on the top, but we also had to do some scrambling because Q4, even under this circumstance, is always going to be our weakest quarter due to seasonality. And so, there was a lot of things there were a lot of things that happened that were kind of cumulative effect things that I don't think involved us swinging and investing as much as it involved, okay, something new has happened. It's a great problem to have, as they say, but wish we didn't have it. And that's where that came from. I don't know if Kevin wants to touch up on that.
Kevin Cureton: Yes, I'd just say everything that Jess said, I agree completely. And the only addition to that is that the mix issue is definitely a factor in impacting Q4 results. So that's one of the things that we are always tuned into, John, and certainly looking to improve in terms of performance. But we definitely anticipate improving on performance from what we had in Q4.
John Henderson: And then just in that regard, I mean, Q1 is mostly past. Do you guys expect Q1 to be profitable?
Jess Jankowski: We do. We're going forward and yes, we do.
John Henderson: And then I mean just one final thing in terms of the uplift. I see the orders of $38 million and you guys kind of call it unprecedented demand. I mean not to push back too hard on that, but I mean that's only 10% improvement in the order rate. And it seems as though hardly any orders over the last five months. I know things are kind of uncertain in this world and you mentioned a little bit more conservatism. So, like what if you go up list and then all of a sudden you get into the second half, I mean, want to be up listing your stock when you basically got record quarters coming out, not all of a sudden seeing slowing growth. So, what underscores your confidence that with orders only up 10% year-over-year that the second half is still going to be very strong like the first half will be?
Jess Jankowski: Well, I resisted putting that in there because it's confusing. And I obviously didn't explain it as well as we could have. But essentially, you're right. And to Kevin's point earlier, we are seeing more customer conservatism given the situation with the pending economic issues and tariffs and everything else. However, the other side of it is that this business, in particular, has been really resistant to recession type issues. We had our just stellar growth during COVID, and it just has kept going. It's one of those prestige cosmetics in particular has a certain immunity to it, not complete. But when you say your comment is right on saying, gee, it's only 10% higher than last year. It's really 10% higher than last year with five months less volume in it because last year, we had orders going that were fairly sizable for some larger customers going all the way through December by March. And I think as we deliver more regularly, as the growth happens, as we mature as a company, coupled with conservatism, we're not going to see orders nine months in advance for this because typically in this industry, you'll see and I'll let Kevin tie it out, but you'll see reorders and things like that happening later into the second quarter, even in the early third. And in the past, I think just we had less conservatism on the part of the customers. And they were saying, okay, I know I'm going to have reorder, so I'll just order it now so that we get a slot. And we're beyond that point. So, I think going forward, it's more likely that as we're comparing quarterly shipped and open orders, it's going to morph into shipped orders, open orders for that are for the nearest period versus before we had a we would roll out of $35 million on March 20th of last year. And then you look at full year this year and say, hey, that was a lot of orders they have in hand. Think that's going to change the shape of that's going to change.
Kevin Cureton: Yeah. I think what Jess said is the important point is that if our brand partners would have their way, they would place an order two weeks before they needed it, right. And we know and they recognize that that's just not a viable approach to managing the business and producing. But that also means that as we've gotten better and they've gotten greater confidence in our ability to really take their orders in a reasonable manner and get them turned around that we don't see as much lead time as we did say in '23 or '24 in particular. So, I think that's what we should anticipate. As Jess said, our guidance will likely get changed a little bit to clarify and make sure that the period to period comparisons are reasonable for all our investors and they can clarify and understand what we're expecting.
John Henderson: So final question, in terms of you mentioned Q2 looks prime to be super strong. Usually, Q3 is the best quarter from where you guys sit. If you have to make a bet, do you think Q2 is going to be better than Q3 this year just because of the kind of the way things are shifted with Q2 seemingly being more typically stronger than it has been in the past?
Jess Jankowski: Yes, I would say that would be our guidance at this point if we had to provide any. It's that Q2 looks particularly strong. Usually, early Q2 results in good orders and mid to late Q3. But we don't have as much visibility on that as we've already talked about as we would typically have. But right now, we're still expecting a very strong year. We're expecting to have significantly better than industry growth for our company, which has been our trajectory since our business really invested in the beauty industry. And so, while it may not be crystal clear in terms of what our expectations are, we definitely are positive about what we see both in Q2 and the rest of the year in terms of overall growth.
Operator: Our next question comes from the line of Stefano Boullis [ph]. Your line is now open.
Unidentified Analyst: Good morning, gentlemen, and, congratulation for the whole '24 and the strong start of, '25. With regards to uplisting, is the current percentage of the public float sufficient to comply with the equity requirements? Or you might need you might be required to issue additional shares?
Jess Jankowski: The current float is sufficient to meet the requirements, and we're not planning on doing an offering in conjunction with the uplisting. That can always change, but our thought is that we believe we're eligible today, and that's the path we're following. And we'll know more in the next month or two.
Unidentified Analyst: Quick one related to tariffs. With regards to your raw material, so excluding the packaging, is it all or mostly sourced in the US, or you have some Canada as well?
Jess Jankowski: Yeah. We have global sources. So, we do have US production. But one of the things to keep in or suppliers, I should say. But one of the things to keep in mind is that some of those suppliers will get their feedstocks from outside of the US. So even though they may be domestic in terms of what they end up producing, you know, just the nature of the chemical industry in general or the ingredient industry in particular, it's a global industry and sourcing is on a global footprint. And that includes Canada and Mexico and everywhere else. Okay.
Operator: Our next question comes from the line of Tony Rubin. Your line is now open.
Unidentified Analyst: Hey, guys. Thanks for the comments on the call. Just a quick kind of follow-up. As I look at the model that I have ratcheting down your growth to about 33% top line and kind of margins in the mid-30s based on your comments, Jess, of gross margins in the 30s getting into the 40s and then incorporating that Illinois tax. I find it hard to see a scenario where you don't double your EPS in 2025. And I was wondering if those assumptions are obviously, you can't be too granular, but plus or minus on target. And the other question plus comment is it seems logical in this time of economic uncertainty that customers would be more conservative in the timing of their orders, not necessarily the quantum of their orders, which I think would be reflected in that open order number. So just to confirm that you still see growth being really strong, it's just that customers aren't ordering as far out because everyone's taking the wait and see. But at the end of the day, people are going to order because the demand metric or the demand driver of your product in your industry isn't going to change plus or minus that much. It's just the timing of making commitments. Thank you.
Jess Jankowski: Sure. Well, that's a lot, Tony. In terms of the possibility of margins being into the 40s, I'm thinking more like the 30s with the potential to get there as if as in we had a great quarter in Q3 last year. That can happen. But I think on a regular basis, we won't see that in 2025. So, I would peg it more in the 30s in terms of whether we grow at 30 plus percent this year or not. That I don't I couldn't attest to. I think the second half is kind of is a little open. However, we are going to grow. We are certainly going to grow in the near term, the first half. We also were in an industry is growing at about 3% a year. I know we're going to grow at a multiple of that. I don't know how much of a multiple, but we're expecting that to happen. To your point about the growth still being strong in light of the orders, I would agree. I mean, we think we're not seeing any of our, the customers that we had rolling into 2025 appear to all have increased volume requirements in 2026. It will be how much of the increase and then how do we perform on launches with newer brand partners that drive whether that the end number is stellar or just really good. And we'll know that yet for a little more time.
Kevin Cureton: Yeah. Just quick addition to that, Tony, as we mentioned earlier, our average customer is bigger. Our average order therefore is bigger. And one of the things we're not seeing is to your point, an order that used to be just to pick a number 20,000 units is now 10,000 units. No, we're not seeing that. We are seeing still orders of similar size, if not larger, based upon both the size of our brand partners and their growth.
Operator: Thank you. At this time, I would now like to turn the conference back over to management for closing remarks.
Jess Jankowski: Thank you to all those who took the time to join us today. Solesence is where science meets self-expression. We are redefining mineral based sun protection by maximizing transparency, effectiveness, aesthetics and wearability, empowering individuals to embrace beauty on their own terms. It's this relentless commitment to scientific excellence and innovation that has set us apart. In closing, I'd like to thank our wonderful team whose dedication to our mission drives us all each and every day. I'd like to thank our customers and our shareholders whose consistent continued support is critical to our long-term success. And we look forward to updating you on our progress and what we believe will be another record breaking year at Solesence. You may close the call. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.